Operator: Good day. And welcome to the First Financial Bancorp Second Quarter 2014 Earnings Conference Call and Webcast. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note that this event is being recorded. I would now like to turn the conference over to Mr. Ken Lovik, Senior Vice President, Investor Relations and Corporate Development. Please go ahead sir.
Kenneth J. Lovik: Thank you, Dennis. Good morning, everyone. And thank you for joining us on today’s conference call to discuss First Financial Bancorp’s second quarter 2014 financial results. Discussing our operating and financial results today will be Claude Davis, President and Chief Executive Officer; and Tony Stollings, Executive Vice President and Chief Financial Officer. Before we get started, I would like to mention that both the press release we issued yesterday announcing our financial results for the quarter and the accompanying supplemental presentation are available on our website at www.bankatfirst.com under the Investor Relations section. Please refer to the forward-looking statement disclosure contained in the second quarter 2014 earnings release, as well as our SEC filings for a full discussion of the Company’s risk factors. The information we will provide today is accurate as of June 30, 2014, and we will not be updating any forward-looking statements to reflect facts or circumstances after this call. I will now turn the call over to Claude Davis.
Claude E. Davis: Thanks, Ken, and thanks for those of you joining the call today. For the quarter we reported net income of $16 million or $0.28 per share versus $0.26 in the prior quarter. The increase in earnings reflects improvement in non-interest income as positive related to mortgage revenue improved from seasonal and weather related declined experiencing the first quarter as well as lower credit costs related to the uncovered loan portfolio. Our results for the quarter were impacted by non-operating items related to acquisition related expenses and the continued execution of our efficiency initiatives, which reduced reported pre-tax income by $500,000. On an adjusted basis return on assets was 1.01% and return on intangible common equity is 10.94%. As many of you have read in the earnings release, we are pleased to announce that we have received regulatory approval to close The First Bexley and Insight transactions. We are in the process of planning the official closing date and expect that to occur sometime in August. That the last hurdle cleared, we are extremely excited the formally launch the First Financial brand in the Columbus market. Through the combined efforts is The First Bexley and Insight in First Financial teams, we’ve done an excellent job of retaining the talent at the two institutions as evidenced by the growth they continue to produce. Since, we have announced the deals they’ve growing their loan balances in excess of 20% and are exceeding our initial projections. We continue to produce solid loan growth the First Financial, as average balance is increased $101.6 million or 11.6% on an annualized basis. In quarter end balances increased $48.5 million or 5.4% on an annualized basis. Our specialty finance team and especially strong quarter with growth over $19 million primarily driven by our business credit product. Residential mortgage activity rebound during the quarter and originations of our portfolio product also contributed to the quarterly growth. Our C&I / owner-occupied theory lending in franchise finance teams at solid quarters as well. Period-end balances did not match the double-digit growth we experienced last quarter at some anticipated late quarter production switch in July closing. Adjusting for these items we would have seen period an annualized growth of approximately 10%. As a result, we’ve gotten off to a good start in the third quarter and the commercial pipeline is very strong as we enter July, with commitments up over 30% compared to the prior quarter. Our investment and especially finance is paying off, as product line is beginning to hit its stride with continued growth in a record pipeline in earnings quarter much of which is expected to be fund in July. Briefing with regards to asset quality the favorable trends experienced during the last several quarters continued as net charge-offs dropped to 11 basis points of average loan balances just for quarter and contributing to decline in the provision for loan losses. Total non-performing assets decreased $3.1 million or 5% during the quarter, driven by a decline in non-performing loans of $3.7 million or 7.6%. Non-performing assets as a percentage of total assets dropped to 89 basis points from 95 basis points for the prior quarter. Excluding accruing TDRs and total NPAs the ratio dropped to 70 basis points. Additionally, our allowance coverage ratio on non-accrual loans improved almost 130% from a 122% for the prior quarter. In conjunction with the earnings release, we announced our quarterly dividend of $0.15 per share to be paid October 1, which translates into a 3.7% yield based on yesterday’s closing price and remains on the upper end compared to peer institutions. With regard to share repurchases as we discussed on last quarter’s call and mentioned in the earning release we were out of the market during the second quarter. In light of the pending Guernsey transaction, which is in our cash deal we expect to continue our suspension of the share repurchase plan during the third quarter and perhaps longer as activity in the M&A market continue to increase. As we have mentioned in the past, capital return decisions are determined quarterly by the Board of Directors in the context of our overall capital management strategies, including considerations related to organic and acquisition related growth initiatives. Capital levels continue to remain strong, as tangible book value per share increased $0.25 to $10.49 per share and we ended the quarter with a tangible common equity ratio of 9.39% a Tier-1 ratio of 14.34% and a total capital ratio of 15.59%. Adjusting for the Columbus transactions and the estimated impacts of both commercial loss share expiration later this quarter and Basel III. We still have sufficient capitals for further organic growth and acquisitions. With the approval to close the First Bexley and Insight transaction and then a process related to Guernsey is well underway, we expect the remaining integration activities related to our Columbus yield will be manageable from a time and resource perspective. We continue to remain interested in exploring further strategic opportunities and have the capacity to manage additional acquisition that lead our strategic operational and financial criteria. With I will now turn it over to Tony for further discussions on our financial performance.
Anthony M. Stollings: Thank you, Claude. Our second quarter adjusted pre-tax, pre-provision earnings of $24.1 million, which excludes certain items related to covered loan activity, as well as other significant items, increased to $0.5 million or 2% from the first quarter, primarily due to the rebound in non-interest income, which was partially offset by lower net interest income during the period. As shown on Slides 3 of the supplement, pre-tax, pre-provision earnings as a percent of average assets to unchanged from the first quarter at 1.75% on an annualized basis. Total interest income decreased $300,000, compared to the linked quarter as modestly lower interest income on loans and securities was partially offset by the lower amortization of the indemnification assets related to covered loans. The lower second quarter interest income on loans is primarily the result of $47 million or 11% decline in the average balance of covered loans during the period. The impact of the declines was partially offset by another solid quarter of loan production, as we saw $103 million or 3% increased in the average balance of uncovered loans during the period. Interest income continues to be impacted by the prolonged lower interest rate environment as the yield earned on the uncovered loan portfolio declined 8 basis points during the second quarter, due to approximately 85 basis points negative spread between the average yield on new loan origination and the average yield on loans that are paid off during the quarter. The spread off little tighter than we saw in the first quarter, but still have the negative impact on the interest income. Interest income from investment securities decreased to $100,000 or 1% during the quarter, as the impact of marginally higher portfolio balances was offset by 5 basis points decline in the portfolio yield due to the period lower reinvestment rates and higher prepaid fees on mortgage related assets. The overall duration of the investment portfolio decreased to 3.9 years as of June 30 and 4.2 years as of March 31. Total interest expense increased approximately $300,000 compared to the linked quarter. Average transaction deposits grew 15% on an annualized basis. In the cost of funds related to interest bearing deposits increased 2 basis points, primarily as a result of this deposit growth and changes in the mix of the deposit base. Company will remains focused on growing core deposit relationships and managing our funding base. Net interest margin declined 12 basis points to 3.70% from 3.82% for the linked quarter. For the margin continues to be influenced by activity in the covered loan portfolio as well as the negative impact on the uncovered portfolio yield some of low interest rate environment. We do believe an inflection point on net interest income as within insight. The crossover point between the positive impact from uncovered loan growth and the negative impact from one off in the covered loan portfolio we expected in the second half of the year. With our growth and one off the function forward we believe the mid-single digit decline remain the reasonable expectation for the third quarter 2014, but we expect net interest income to be stabled that slightly higher in the third quarter as compared to the second quarter. Now moving to non-interest income, excluding covered loan activity and other items as noted in payment one of the earning release, non-interest income increased $1 million from the linked quarter to $14.6 million from the second quarter. This increase was driven by a re-bounce in the first quarter seasonal loans and service charges on deposit accounts and banker card income was little higher in net gains on the sale of revenue from mortgages and portfolio evaluation through latest decline derivatives during the second quarter. Non-interest expenses for the second quarter excluding coverage expenses and other items as noted in Table 2 of the release. Total $44.8 million and loan changed from the linked quarter at higher salaries and employee benefit cost and other expenses who offset by lower net occupancy and professional service cost during the period. We remain focused on operating efficiency as evidence by our recent announcement to consolidate few of our Indianapolis banking centers into other locations. As client banking habits and preference evolve we are constantly evaluating our delivery system, to best meet their needs. Turning briefly to covered assets, I’ll highlight a couple of points; first I've showing on Slide 5 of the supplement. The balance of covered loans likely to exit decline for $66 million of June 30, representing at 24% decline from the first quarter and 70% decline from the comparable quarter one year ago. Second the balance of covered loans declined to 9% of total loans at June 30 down from over 15% of total loans one year ago and from 42% of total loans from we acquired covered loan portfolio in the third quarter of 2009. These declines reflect both are continued success in resolving problem covered assets. In the diminishing impact covered assets are having on our balance sheet. Certainly as we approached to the third quarter exploration of commercial loss share coverage in the midpoint of single family loss coverage. It’s important to remember that the expiration of loss share does not change the overall accounted framework for these loans. And finally, although that we do not typically give earnings guidance, I want to make a comment regarding the forecasted earnings in the Columbus Ohio transaction. We believe that the impact from the delay and the closing in fact the Insight will be substantially offset on a higher than forecasted growth you have experience since announcement. We’re comfortable and we are turning our initial projected combined earnings impact to 2014 and 2015 of approximately $0.05 and $0.13 per share respectively. This is before one time acquisition related cost. Now I’ll turn the call back over to Claude.
Claude E. Davis: Thanks, Tony. Denise I think we are ready to open the call for question.
Operator: Thank you (Operator Instructions) and the first question will come from Scott Siefers of Sandler O'Neill & Partners. Please go ahead.
R. Scott Siefers – Sandler O'Neill & Partners LP: Good morning guys.
Claude E. Davis: Hey Scott.
Anthony M. Stollings: Good morning Scott.
R. Scott Siefers – Sandler O'Neill & Partners LP: Let’s see, I guess Tony. First question is on kind of the margin, I appreciate the near-term margin outlook as well as your thoughts on NII potentially in flat things here pretty immediately. I guess I’m curious just as you look at the core margin absence the impact of the covered portfolio, do you have sort of a best guesses as to when that would stop grinding more. I guess the gap between new and rolling-off loans are still kind of high, but do you have a sense when that – the core margin will reflect as well.
Anthony M. Stollings: Well it changes from quarter-to-quarter with the origination fees, so I’ll tell you in the second quarter we actually had a positive impact in our new loan originations and fee income. If you decompose the change in the merger for the quarter that was the positive in all of that. So the drop was really driven my the increase in earning asset base and the covered loans, we do have a little bit of a decline there related to investment portfolio, but those things are going to happen, but we are seeing some positive trends on the origination side and they are contributing to the margin that’s negatively impacting it.
R. Scott Siefers – Sandler O'Neill & Partners LP: Okay, perfect and then maybe switching gears a second on to the expense outlook obviously in the third quarter the two Columbus deals are going to start impact from the aggregate expense days, but just as you look at that in a core legacy FFBC cost base it sound like you – you’ve done a little more with rationalizing the branch network – but how are you think about any upward pressures on the expense base or any additional rationalization that you have that might keep things flattish or even down?
Claude E. Davis: Yeah, we are always looking at the expense based side and outside of that are discretionary spending remains in the very critical review, here just in the normal course of business we think we are still on a good track with our expense base and expect to see, we continued to decline noted the cost associated with last year continue to rapidly fall and we believe the losses some improvement and professional fees that are associated with that so we had a little lift here in this quarter with some higher health care cost and some excepted plan resets but overall we feel good about where we are tracking and believe we are still on course there.
R. Scott Siefers – Sandler O'Neill & Partners LP: Okay that’s perfect, thanks to guys very much.
Claude E. Davis: Thanks Scott.
Operator: (Operator Instructions) The next question will come from Emlen Harmon of Jeffries. Please go ahead.
Emlen B. Harmon – Jefferies LLC: Hi, good morning.
Anthony M. Stollings: Hi Emlen.
Claude E. Davis: Good morning.
Emlen B. Harmon – Jefferies LLC: Well, just your comments on M&A it sounds likes just a general M&A environment it improving just kind of what do you guys see individually in term of opportunity so it’s kind of related volume or what’s in coming to willingness of sellers and just kind of that the relative strategic fact of what or what you have been saying?
Claude E. Davis: Yeah, Emlen it obviously look to starting general terms I think that not only from what we see from others and just the phase of deal activity is certainly picked up which we can all see that and know it but as a comment I think on the last couple of calls we just see the general activity and discussions being more productive and being more frequent I guess the best way to describe but so I – our outlook on M&A is that it will continue to be good M&A environment good opportunities for buyers like ourselves so in that context we want to make sure we preserve capital appropriately. So that’s I guess in a general context that’s our perspective.
Emlen B. Harmon – Jefferies LLC: Got it. Okay and them just your comments on better growth our of the Columbus market is that based on kind of what’s been happening at those three banks that you guys are acquiring or is that just kind of you’re seeing opportunities to add to those franchises after the deals close.
Claude E. Davis: Yes, the numbers I referenced was presumably related to The First Bexley Bank and Insight Bank. Both of whom which is why we were attracted to them had just been outstanding banks in terms of their kind of client service and their penetration into the Columbus market. And as I mentioned that even as accelerated since we announced the deal which is normal in acquisition deal. So I credit those teams for staying focused. I think it’s also helped that we've worked with them during this period of time on being able to handle bigger deals and we partnered with them on some larger deals which has helped that growth as well. So, first is just the quality of those teams and I think the quality of the institutions, we were able to partner with. Second I think it relates to the quality of the Columbus Ohio market, I think it’s not the best market we’re going to be in, it’s [indiscernible] others have high quality that market is, the activity that we see in the Columbus market. In terms of adding other some additional resources I think will add overtime probably in the treasury area, we’ll look at some additional banking services in different neighborhood in the Columbus Ohio market. And in some product lines that they don’t offer, because its size like the asset based lending, equipment finance product lines that we’ll look to expand as well. So, we think there is just great opportunity in that market for us once we get the deals closed.
Emlen B. Harmon – Jefferies LLC: Great, thanks. Thanks for taking the questions.
Anthony M. Stollings: You bet. Thanks Emlen.
Operator: (Operator Instructions) I’m showing no additional questions. This will conclude the question-and-answer session. I would like to hand the conference back over to Claude Davis for his closing remarks.
Claude E. Davis: Great, thanks Denise. And again thanks everyone for your interest in First Financial and joining our call today. Thank you.
Operator: Ladies and gentlemen the conference as now concluded. We thank you for attending today’s presentation. You may now disconnect your lines.